Operator: Good day and welcome to Playtika's Holding Corp. Q3 2024 Earnings Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker, Tae Lee, Senior Vice President of Corporate Finance and Investor Relations. Please go ahead.
Tae Lee: Welcome, everyone and thank you for joining us today for the third quarter 2024 earnings call for Playtika Holding Corp. Joining me on the call today are Robert Antokol, Co-Founder and CEO of Playtika; and Craig Abrahams, Playtika's President and Chief Financial Officer. I would like to remind you that today's discussion may contain forward-looking statements, including but not limited to, the company's anticipated future revenue and operating performance. These statements and other comments are not a guarantee of future performance but rather are subject to risks and uncertainties, some of which are beyond our control. These forward-looking statements apply as of today and you should not rely on them as representing our views for the future. We undertake no obligation to update these statements after this call. We have posted an accompanying slide deck to our Investor Relations website which contains information on forward-looking statements and non-GAAP measures and we will also post our prepared remarks immediately following this call. For a more complete discussion of the risks and uncertainties, please see our filings with the SEC. With that, I will now turn the call over to Robert.
Robert Antokol: Good morning and thank you, everyone, for joining our call today. We're excited to share updates on our recent progress, especially about our proposed acquisition of SuperPlay. For those who have not seen our earlier communication, this deal is a key milestone for us and fits with our growth strategy. While the acquisition is still pending customary closing conditions, we see an important step in changing our growth momentum. M&A has always been cornerstone in our strategy here in Playtika. Over the years, we have found, acquired and most importantly, scaled top-tier gaming studios which has allowed us to build robust portfolio. Nine of our top 11 existing titles have come via M&A. SuperPlay, with its success in high-growth categories through Dice Dreams and Domino Dreams, bring us an incredible opportunity to enhance our portfolio. These titles already have a strong market presence and SuperPlay's two new games in development also bring further momentum to our business. By empowering SuperPlay to continue their innovation work, while leveraging our scale and resource, we aim to maximize the potential of their games and enhance our market leadership. This acquisition, when finalized, will demonstrate our continued commitment to building a diverse and successful portfolio of market-leading franchise. We're excited about the future game pipeline at SuperPlay and what this can mean for our players and the shareholders. Thank you for the continued support. I will hand over to Craig for a more detailed review of our performance this past quarter.
Craig Abrahams: Thank you, Robert and good morning, everyone. Following on Robert's comments, I want to take a moment to emphasize how the SuperPlay acquisition aligns with our broader financial strategy. Our focus on generating sustainable free cash flows allows us to support our capital allocation strategy, including M&A and returning capital to shareholders. The proposed acquisition of SuperPlay is a perfect example of our disciplined approach. We have structured this transaction with a balanced mix of upfront payments, as well as revenue and EBITDA performance-based earnouts which helps align incentives and ensures we maintain financial flexibility. This structure not only enables us to limit downside risk but also aligns our goal to reignite revenue and credit adjusted EBITDA growth, while driving long-term value creation. SuperPlay continued its impressive performance in the third quarter as consolidated revenues grew double digits sequentially and the studio had another record month in September, posting all-time highs of gross revenue per day. While the robust performance of SuperPlay highlights the strength and importance of our M&A strategy, it is equally important to recognize the continued contributions of the assets we acquired last year. Governor of Poker III continues to show growth potential and I'm pleased to report that this studio has grown sequentially every quarter since our acquisition. Animals & Coins delivered record-breaking performance in Q3, marking a significant turnaround after the economy challenges we faced in Q2. The game economy adjustments, combined with our strategic decision to restructure the earnout by lowering the maximum cap and spending incremental marketing dollars have driven the studio's success. As a result, Animals & Coins achieved all-time high revenues with strong month-over-month growth throughout the quarter. This momentum underscores the strength of the studio and validates the changes we made to position Animals & Coins for sustained long-term success. While executing on sustainable and value-enhancing M&A remains a priority, we are equally focused on managing liquidity, leverage and our capital structure. We will continue to proactively manage our capital allocation to support growth opportunities while maintaining a strong and stable financial foundation. Our approach is built to ensure that we can execute our strategy without compromising our commitment to financial health. We believe this disciplined approach will allow us to successfully support both organic growth and potential future acquisitions. In summary, we are excited about the potential the SuperPlay acquisition brings and confident in our ability to enhance our growth profile, all while maintaining a firm focus on financial discipline. With that, let us dive into our Q3 financial performance. For the quarter, we generated $620.8 million of revenue, down 1% sequentially and down 1.5% year-over-year. Credit adjusted EBITDA margins improved over Q2 as we generated credit adjusted EBITDA of $197.2 million, up 3.2% sequentially and down 4.1% year-over-year. Net income was $39.3 million, down 54.6% sequentially and up 3.7% year-over-year. Our direct-to-consumer business continues to outperform the overall business as we generated $174.4 million which was up 0.4% sequentially and up 8.3% year-over-year. Turning now to our business results in the quarter. Revenue across our top three games was up 1.1% sequentially and down 0.8% year-over-year. Bingo Blitz revenue was $159.9 million, up 2.7% sequentially and up 6.8% year-over-year. Bingo continued its strong execution of its direct-to-consumer business in the quarter, helping drive DTC revenue to a record high. In addition, Bingo achieved its highest revenue month in history in July. Solitaire Grand Harvest revenue was $79 million, up 6.5% sequentially and down 0.2% year-over-year. We are optimistic about the road map going into next year as Solitaire continues to regain its footing and drive incremental success. Slotomania revenue was $128.7 million, down 3.8% sequentially and down 9.3% year-over-year. While we increased our user acquisition spend for Slotomania this year, Q3 results did not meet our expectations. Moving forward, we are realigning our strategic focus in the studio, placing a greater emphasis on the product and feature roadmap to drive a meaningful increase in paying users. This shift includes the introduction of historic IP, such as Cleopatra II, launching in Q4 as the first in a series of leading titles under our licensing agreement with IGT. Additionally, we are implementing key product changes such as modifying the in-game experience for Albums and Slotomania Club which are designed to enhance engagement and monetization opportunities. Turning now to specific line items in our P&L for the quarter. Cost of revenue decreased by 3.3% year-over-year, driven by a change in revenue mix between direct-to-consumer platforms revenue and third-party platforms revenue as well as the decline in overall revenue. R&D expenses declined by 2.9% year-over-year. The decline in R&D were due to extensive cost management implemented consistently throughout the year. Sales and marketing expenses increased by 5% year-over-year. The increase in sales and marketing expenses was primarily due to the increase in performance marketing. As discussed in our Q1 earnings call, we anticipated that sales and marketing spend would be the highest in Q1, with year-over-year growth tapering in subsequent quarters. Accordingly, sales and marketing expenses declined by 11.5% sequentially. G&A expenses declined by 3.5% year-over-year. The decline in G&A expenses was driven by a onetime favorable adjustment of payable contingent considerations and reduced compensation expenses from lower headcount. As of September 30th, we had approximately $1.2 billion in cash, cash equivalents and short-term investments. This does not incorporate the contemplated upfront payment of $700 million for the SuperPlay acquisition. Looking at our operating metrics, average DPU increased 1% sequentially and 0.7% year-over-year to $301,000. Average DAU decreased 6.2% sequentially and 9.5% year-over-year to $7.6 million. The decline in average DAU year-over-year was primarily due to the strategic decision to reallocate marketing dollars and R&D resources away from some of our smaller casual titles such as Just Play 1v1. ARPDAU increased 4.7% sequentially and up 9.9% year-over-year to $0.89. We are adjusting our guidance for the year as follows: revenue is now expected to range from $2.505 billion to $2.52 billion, reflecting our revised outlook. Meanwhile, we are raising our credit adjusted EBITDA guidance to a range of $755 million to $765 million. Finally, we are lowering our capital expenditure guidance to $90 million as we remain focused on maximizing free cash flow. Our guidance does not incorporate the impact of the SuperPlay acquisition as the acquisition is still pending and we expect to close later this quarter. With that, we'd be happy to take your questions.
Operator: [Operator Instructions] And our first question will come from the line of Chris Schoell with UBS.
Christopher Schoell: Craig, just taking the midpoint of your full year guidance, I believe, implies a higher revenue decline but improvement on EBITDA in 4Q. Can you help us think through the drivers there? And when you announced the SuperPlay deal, you mentioned coming back to the market with capital allocation and future M&A plans. Any updated thoughts you can provide at this stage?
Craig Abrahams: Sure. Thank you for the question. So I'll start with the second part first. After our Q4 earnings post the closing of the SuperPlay transaction, we will update both on guidance for 2025 as well as discuss our capital allocation framework as it relates to M&A as well. In terms of this year, obviously, overperforming in terms of raising the guidance for EBITDA based on cost management and being selective on marketing investments to the highest ROI opportunities. When you look at top line, Slotomania and some of the casino themed titles underperformed relative to expectations as we started the quarter. And so that helped dictate lower guidance for the quarter.
Christopher Schoell: Great. If I can just fit in one more. I believe you mentioned a new product and feature roadmap for Slotomania. Just how are you thinking about the time line for stabilization here? And any shifts in competitive dynamics you would call out?
Robert Antokol: It's Robert. So regarding Slotomania, as we spoke last quarter, we have very strong plans during -- regarding content, especially with the deal that we did with IGT. We're going to start launching the new content in the end of this year, already. And together with the product changing, we believe that next year is going to be a very interesting and promising year to Slotomania.
Operator: One moment for our next questions and that will come from the line of Drew Crum with Stifel.
Andrew Crum: As it relates to your revenue mix, the DTC piece has continued to increase sequentially as a percentage of the total. I know you haven't updated that 30% target but is there anything forthcoming that would cause a material change in the mix? And then I have a quick follow-up.
Craig Abrahams: No, I think we have continued execution as it relates to new title launches. So in terms of the execution we have in June's Journey, the execution that we have in Solitaire Grand Harvest continues to help there but nothing outside of the performance that you've seen in the last few quarters. It's pretty consistent and steady. Post SuperPlay acquisition, we'll have to reassess the road map and opportunities to integrate DTC there as well.
Andrew Crum: Got it. Okay. And then just on the casual side of your portfolio, you mentioned the record performance for Animals & Coins and the strong performance for Bingo and stabilization for Solitaire. If you isolate those, it looks like the revenue was weaker. And anything to call out or flag in terms of what drove that decline?
Craig Abrahams: So, I think what you're seeing is that as we continue to focus investments on our biggest titles that are number one in their respective categories, we see better performance there. And some of these smaller titles where we've taken away R&D and marketing resources from them, those titles will continue to stagnate or decline. So we're managing the portfolio for growth from the biggest titles and more so on profitability from some of the smaller titles.
Operator: One moment for our next questions. And that will come from the line of Eric Handler with ROTH Capital.
Eric Handler: You guys have always done a very good job of driving higher average revenue per -- or sorry, with daily paying users and your player conversion. But as you sort of look at your portfolio of growth titles versus sort of like your smaller titles, ultimately, you want those larger titles to keep expanding the funnel in terms of DAUs. Can you maybe talk a little bit about the dynamic that's going on? Like are you seeing growth in DAUs with your focused titles?
Craig Abrahams: Sure. So as we look at further diversification of the portfolio, both through future acquisitions and the acquisitions we've done over the last few years, we see growth in those titles in terms of growing the user base. I think as we look at more of the legacy titles, it's more consistent with what you've seen over the kind of the last 8 quarters of a more consistent decline in the DAU base as we focus on higher-quality customers in Tier 1 markets. I think what you see is DPU this quarter was up both year-over-year and sequentially. And so that is the metric that we're most focused on. But I think some of the smaller titles like 1v1 and Redecor both had bigger declines as we pulled back on marketing dollars from a DAU perspective. Those were low revenue producing titles to begin with. So it's not the same user base in terms of quality.
Operator: One moment for our next questions. And that will come from the line of Matt Cost with Morgan Stanley.
Matthew Cost: I guess on the marketing side, Craig, you're very clear and you messaged pretty clearly throughout the year that there would be this step-up in marketing in 1Q and then kind of this decline or kind of mean reversion over the rest of the year. But as we look at kind of the 4Q guide where revenue and EBITDA are moving in opposite directions, it seems like you're being a little more selective on the marketing side, I think you said. So I guess, what are you seeing there? I mean, would you look back on the marketing that you did in the first half and say it didn't pan out as well as you had hoped? And so you're just really paring down as you move into the second half? Like what is changing in that UA environment?
Nir Korczak: It's Nir, Playtika CMO. Thanks for the question. So basically, as we have a variety of different games, so obviously, the story is different for each one of them. In H1, we try different approach. Some of the things that we did around the offline activity didn't meet our expectation and we did shifting towards performance. I think that overall in the marketing arena, we see lots of things that can be beneficial for us in the future. An example for that, what we are seeing with the policy change of Google, that they announced that Google Ads will start rolling out personalized ads for social casino. This is a great news for us and an opportunity basically to put Slots, Poker and Bingo under the same roll-out, I would say, as the casual games. So this is -- can be beneficial for us from -- just as an example, for marketing, retargeting and also for improved algorithm that we are using with Google. So we are seeing things that can help us in the future and we're going to focus more on the performance side moving forward.
Matthew Cost: Great. And then just on the revenue guide. Should we think of Slotomania as the main driver of like the lower revenue guide? Or are there other big movers that you would call out?
Craig Abrahams: No, I think it's a mix of Slotomania and the smaller titles.
Operator: One moment for our next questions and our next question will come from the line of Aaron Lee with Macquarie.
Aaron Lee: I wanted to start with SuperPlay. Are there any opportunities for synergies or just cross-pollination of best practices or monetization between this acquisition and some of your existing titles like maybe Board Kings or Animals & Coins?
Robert Antokol: So of course, when you look at the founders of SuperPlay, the guys accept Playtika and they came from Playtika and there is a lot of look and feel in SuperPlay like Playtika. We are not in this point of the deal and we are not speaking about synergy right now. This is not the focus of synergy. SuperPlay has their own roadmap and they're going to work independently and get to their targets. Always in the future, things can happen. But right now, there's not even conversation regarding this.
Aaron Lee: Okay, fair enough. That makes sense. As a quick follow-up, last quarter, you mentioned a new game being developed by Wooga, Claire's Chronicles. Is that game still on track for a second quarter '25 launch? And how are you thinking about growing that and also growing June's Journey? Is there going to be any cross-sell there? Or is it really just trying to focus on growing both at the same time?
Robert Antokol: So yes, we mentioned a new game of Wooga. It's going to be launched next year. We're already doing beta tests. We're already doing some small launches in some small places. There is no connection between this game and the roadmap of June Journey. It's a different team. It's different targets. June Journey have amazing road map for next year. June Journey was growing incredibly in the last 6 years, one of our leading titles and it's going to stay one of our leading titles.
Operator: One moment for our next question. And that will come from the line of Omar Dessouky with Bank of America.
Omar Dessouky: We've been noticing a trend towards hybrid monetization. I just wanted to get your updated thoughts on whether you think that's a growth vertical? And if your thoughts on advertising have changed at all since the last couple of calls we've talked to you?
Craig Abrahams: No, I think for the most part, our portfolio is purchase focused [ph]. We have titles like Animals & Coins which has advertising natively built into the game as part of it from the design from the beginning, some of our other titles as well. But no anticipation of shifting strategy there strategically.
Omar Dessouky: Okay, got it. Thanks. Appreciate it.
Operator: Thank you I'm showing no further questions in the queue at this time. So, thank you all for your participation. This concludes today's program. You may now disconnect.